Operator: Good morning and afternoon, ladies and gentlemen, and welcome to the OceanaGold Q1 2020 Financial Results Webcast and Conference Call. [Operator Instructions] Note that this call is being recorded on Thursday, May 14, at 5:30 p.m. Eastern Time. And I would like to turn the conference over to Sam Pazuki. Please go ahead, sir.
Sam Pazuki: Good evening, morning. Welcome to OceanaGold’s first quarter 2020 results webcast and conference call. I am Sam Pazuki, the Vice President of Investor Relations for OceanaGold. I am joined today by Michael Holmes, President and CEO of OceanaGold; along with Scott McQueen, Chief Financial Officer; and Jim Whittaker, our Executive General Manager of the Haile operation. We turn over to Slide 2 and the cautionary statements. Before we proceed, note that references in this presentation adhere to International Financial Reporting Standards, and all financial figures are denominated in U.S. dollars, unless otherwise stated. Also note that the presentation contains forward-looking statements, which, by their very nature, are subject to some degree of uncertainty. There can be no assurances that our forward-looking statements will prove to be accurate as future results and events could differ materially. It’s also important to note that although we have maintained our formal 2020 guidance, the current situation related to the COVID-19 virus is still fluid and could impact the current state of our business. However, we have strict protocols in place to safeguard the health and well-being of our workforce. I refer you to the disclaimers on the forward-looking statements in our presentation. I now turn it over to Michael Holmes, our President and CEO.
Michael Holmes: Thank you, Sam and good morning and good evening to all. I hope everyone is healthy and safe through this unprecedented time. Moving on to Slide 3, the results overview, despite the emergence of the COVID-19 global pandemic creating additional and varied risks across our global operational footprint, we delivered a good quarter of operational performance while safeguarding the health and well-being of our workforce. Production and unit costs were in line with our expectations with continued productivity increases at Haile despite the strict protocols we put in place at the beginning of March and a higher-than-normal rainfall during the first quarter. At quarter end, the New Zealand government imposed restrictions in the wake of COVID-19, resulting in the curtailment of mine operations and limited processing at Macraes as well as the shutdown of development activities at Waihi. On April 28, we resumed full operations at Macraes and restarted the development of the Martha Underground Project following easing of those restrictions. Revenue decreased from the previous quarter due to the lower gold sales volumes, which was partially offset by a higher average gold price received. The EBITDA decreased slightly quarter-on-quarter from lower sales and margins, but this was partially offset by lower corporate costs. Our adjusted net loss of $10.7 million for the quarter reflects decreased revenue as expected and a similar quarter-on-quarter depreciation and amortization costs related to higher pre-stripping activities. Our adjusted EPS was negative $0.02. Cash flow per share was $0.19 inclusive of the gold presales and $0.07 without the presales, which was ahead of the consensus. As we manage the near-term risks associated with the COVID-19 virus, we are also advancing our organic growth opportunities. Moving on to Slide 4, we have operated a sustainable business for the past 30 years by applying robust ESG practices across our business. We are proud of our ability to discover ore bodies, build projects, operate mines and rehabilitate depleted mines. Our overall ESG performance has been recognized by the major ESG rating agencies where we are currently ranked in the top 5 globally in the gold industry. As an operator for much of my career, I recognize that managing health and safety in mining requires continued and sustained focus. It requires having the right culture in place and strong committed leadership that reinforces health and safety values across the workforce, whether it’s in an operation or in the corporate office. I’ve always been a believer that there is a direct correlation between health and safety performance and operational performance. As such, the health, safety and well-being of our workforce will always be paramount. With the rapid escalation and spread of the COVID-19 virus, we were required to act swiftly to safeguard our workforce. It was nearly 2 months ago that we implemented very strict protocols at each of our operations and for our corporate staff. The situation remains fluid, however, we have managed this risk effectively, and to date, we have no known cases of COVID-19 anywhere in our business. Overall, our safety performance continues to improve, particularly at Haile and Macraes, resulting in the company’s total recordable injury frequency rate trending lower. Our focus will remain on ensuring that our people understand and manage risks every day, and we continue to achieve this through strong leadership and persistent communications to ensure the trend continues in the right direction. Moving on to Slide 6 and looking at the operational results and a summary of Haile. The first quarter at Haile saw the implementation of the enhanced safety and health protocols to manage the COVID-19 and more rainfall than forecasted historical averages in the Carolinas. Despite these factors, we managed to deliver on planned production and mined more material quarter-on-quarter and particularly year-on-year. Haile improved its safety performance quarter-on-quarter and significantly improved from the same period last year. Haile had 1 recordable injury during the first quarter, reducing its TRIFR to 5.7. This performance reflects the site’s ongoing commitment to safety leadership and increased employee engagement. We are pleased with Haile’s first quarter operational performance. Production is in line with our expectations, while mining rates continued to increase and mining unit costs continued to decrease quarter-on-quarter and year-over-year. It was the fourth consecutive quarter of productivity improvements at Haile. Mining costs in the first quarter were 5% lower than in the fourth quarter of 2019 and 50% lower than a year ago. Total mining movements increased 8% quarter-on-quarter and more than doubled year-over-year, reflecting the productivity improvements from our upgraded mining fleet. By the end of the quarter, we had all 15 of the new Komatsu 730E haul trucks operating, and these trucks are supported by 6 785 Caterpillar haul trucks. The process plant continues to operate ahead of expectations. And over the past couple of months, we have achieved record throughput days annualizing to 3.8 million tons per annum. Mill feed was 16% higher year-on-year and similar quarter-on-quarter despite an extended shutdown of the regrind circuit in the process plant for planned maintenance in January. Recoveries were as expected and in line with the planned processed grades. We are seeing year-on-year increases in recoveries at the same relative mine grade, and we continue to fine-tune the regrinding circuit. As the year progresses, production will increase, and the all-in sustaining costs will decrease at Haile. This is simply a function of the mine sequencing where grades improve as the year progresses. Our head grade in the first quarter was 1.36 grams per ton. For the second quarter, we expect it to be around 1.4 grams per ton, increasing to 2 grams per ton in the third quarter and around 2.4 grams per ton in the fourth quarter. We also expect our mining unit costs to continue decreasing as the year progresses. With the right leadership team and the workforce in place, we are confident in delivering our full year guidance at Haile. Moving on to Slide 7 and Macraes, we call it the mine that keeps on giving. However, it is truly the most unappreciated asset in our portfolio. During the first quarter, the operation recorded no reportable injuries and a TRIFR rate of 3.1 per million hours work. We continue to see a reduction in the number and severity of injuries, reflecting strong site engagement in the behavioral-based safety initiatives implemented last year. In the first quarter, Macraes produced around 39,000 ounces of gold, down year-on-year and quarter-on-quarter as expected, reflecting lower head grade and increased total waste movements as pre-strip progressed at the Coronation North stage 4 and Innes Mills open pit. Total mill feed decreased quarter-on-quarter and year-on-year due to the harder ore feed from the Coronation stage 5, and it also reflects some impacts of suspension of a portion of the milling circuit in late March due to the COVID-19 restriction. The all-in sustaining costs of $1,218 per ounce sold, includes $113 per ounce related to the purchase of a new Hitachi excavator, which helped facilitate increased waste movements during the quarter. Looking ahead to the remainder of the year, we expect production at Macraes in the second quarter to be lower than in the first quarter due to the 5 weeks of limited processing. We are looking to make up the shortfall in production over the course of the year. The second half of the year is expected to be stronger than the first, with the fourth quarter expected to be the highest quarter of production at the lowest corresponding all-in sustaining costs. It’s important to also highlight that Macraes has generated very strong free cash flows over the past few years. The New Zealand-denominated gold price has never been this high, which, along with the lower fuel prices and the exchange rate, represents some major tailwinds for our New Zealand businesses. With the release of the Golden Point Underground study in the second half of this year, we expect a mine life extension at Macraes at consistent production levels of 150,000 to 180,000 ounces a year at an all-in sustaining cost of around $1,000 per ounce. We expect Macraes to be a major source of free cash flow generation for many years to come. Moving on to Slide 8, Waihi reported 1 recordable injury during the quarter, increasing its TRIFR rate to 4.2 from 3.6 per million hours work at the end of quarter – at the end of 2019. Mining activities at the major veins in the Correnso underground were completed during the first quarter, producing approximately 12,000 ounces of gold. The processing plant was shut down in February and will restart in the fourth quarter to batch process ore from the narrow vein mining that will continue for the duration of this year. We are expecting 7,000 to 8,000 ounces of gold production from Waihi in the fourth quarter. During the quarter, we completed over 1,500 meters of development in Martha Underground until activities were temporarily curtailed due to COVID-19-related restrictions, which were then lifted on April 28. You will note that as the year progresses, the development rates will continue to increase. The dip in development in the second quarter relates to the 5-week hiatus. And despite this, we remain on track for first production from Martha Underground in the second quarter of 2021. Moving on to Slide 9 and Didipio, currently, all levels of government in the Philippines are responding to the COVID-19 pandemic. Our focus remains on lifting the restraints at the mine and the renewal of the FTAA. The FTAA renewal remains with the Office of the President, and we understand the President was involved in discussions about the renewal with senior government officials at the end of February. We recognize the impact of the uncertainty of the renewal has on our operating and financial results, to shareholders of the company, and importantly, the locals that depend on Didipio’s ongoing operation to support themselves and their families. The mine is a significant source of jobs, taxes and revenues that we believe will be critical in contributing to the Philippines’ post COVID-19 recovery. Despite the temporary layoff of nonessential workers in mid-April and the uncertainty around the timing of the COVID crisis, we do remain confident of a positive outcome. I will now turn the presentation over to Scott McQueen to take you through our financial results. Thank you, Scott.
Scott McQueen: Thank you, Michael and hello everyone. The next few slides cover some key aspects of our balance sheet and our first quarter financial performance. Moving to Slide 11, which provides a snapshot of our balance sheet, as at March 31, our cash balance was $177 million, and our net debt decreased to $121 million. This reflected steady underlying operating cash flow in the quarter, proactive steps taken to enhance liquidity as well as re-profiling our 2020 operating cash flow to better align our capital plans and to ensure optimal development time lines at our key organic growth projects. These steps included the sale of our equity position in GSV, which netted $22.7 million; continued engagement with regulators in the Philippines to secure approval to export and sell just over $11 million of gold dore, which have been on-site since mid-2019; and as noted, the re-profiling of our 2020 operating cash flow via the gold prepay executed in March, bringing forward just over $78 million from late in the second half. In response to the onset of COVID-19 pandemic, we also took the preemptive step of drawing down the remaining $50 million from our revolving credit facility given uncertainty how the crisis would impact global credit markets. We are also seeing downward pressure on input costs across the business, the full benefits of which should start to flow through in the current quarter. This included lower diesel costs, which at Haile were expected to account for up to 15% of operating costs; and at Macraes, up to 10%. The weaker New Zealand currency also represents a significant broad-based reduction in U.S. dollar terms in respect of our New Zealand dollar operating costs. Despite the material shift in key inputs, we currently have no plans for additional hedging. Our strategy at Macraes has always been focused on protecting margins on the downside, both gold price and currency, not seeking to pick the top. Currently, spot prices as well as consensus forward expectations support continued strong cash margins. Therefore, we are happy to continue to benefit from market prices and current exchange rates and oil price declines on an un-hedged basis. We continue to manage the balance sheet to meet whatever short-term challenges arise while ensuring we have the capacity to deliver our growth projects on the optimal time lines. Moving to Slide 12, the quarter-on-quarter reductions in both revenue and EBITDA mostly reflect the planned lower gold production and sales in the quarter. Lower volumes were only partially offset by 7% quarter-on-quarter increase in the average gold price received, combined with lower G&A costs and indirect taxes, both predominantly related to Didipio. The reported NPAT for the first quarter was a loss of $26 million, which included an unrealized mark-to-market loss of $21 million on revaluation of the New Zealand dollar gold hedges, which reflected material increases in spot gold prices and declines in the New Zealand dollar exchange rate across the quarter. As noted, the adjusted net profit, excluding unrealized hedge gains and losses, was a loss of $10.7 million or negative $0.02 per share, fully diluted. As per the cash flow summary at the bottom, operating cash flow for the quarter increased from the prior quarter, coming in at $121 million, inclusive of the gold prepay, which equates to $0.19 per share. On an adjusted basis, after removing working capital charges including the prepayment, the result was $0.07 per share, as noted. First quarter investing cash flows decreased 30% from the prior quarter, although capital expenditure increased due to higher pre-stripping, which was offset by the sale of our position in Gold Standard Ventures netting $22.7 million, as previously noted. Financing cash flows of $45 million reflects the positive impact of the $50 million drawdown from our revolving credit facility, partially offset by quarterly finance charges. Turning to Slide 13, which provides some additional detail on our capital expenditure, as outlined at the top of the table, total capital expenditure increased 19% quarter-on-quarter to approximately $59 million. The increase reflects higher pre-stripping activity at Haile and Macraes, partially offset by lower exploration spend, where the focus has been narrowed to our organic growth opportunities. The increase in general operating capital largely reflects the purchase of the new excavator at Macraes, which accounted for $113 per ounce of Macraes’ Q1 all-in sustaining costs. We have recently completed an effective sale and leaseback arrangement covering that excavator under a $10 million fleet finance facility with Westpac Bank. We’re happy to have yet another leading bank associated with the company. Growth capital was relatively unchanged quarter-on-quarter. The main areas of investment during the quarter were the Haile expansion, which included construction of the TSF wall lift and additional PAG storage capacity. Gross spend at Waihi increased, reflecting the development progress at Martha Underground. As already noted, pre-strip at both Haile and Macraes increased materially in the first quarter as expected and consistent with the respective mine plans. At Haile, we expect the second quarter to include the highest level of capital expenditure for the year related to the TSF lift, which will be completed in the third quarter. Sustaining capital, mainly relates to pre-strip, expected to increase into the second quarter, again into the third before reducing in the fourth. Macraes capital will decrease in Q2 and Q3 before increasing slightly in the fourth quarter. Naturally, we are prioritizing investment in exploration as a value creator and we are focused in our efforts at and around Waihi given the positive progress both the Martha and the WP drilling programs provide. I will now turn it over to Michael to discuss these opportunities in more detail.
Michael Holmes: Thank you, Scott. Moving on to Slide 14, we have a high-quality management team and high-quality assets, which is a recipe for success, combined with one of the best organic growth pipelines in the gold sector. Over the next several years, we expect to build 4 underground mines in low-risk jurisdictions where we have extensive operating expertise. Moving on to Slide 15, more specifically, we can see here the investment, and we are investing in growth opportunities at each of them at different stages. The majority of our exploration activities, as mentioned, are in New Zealand, particularly at Waihi, where we have significantly increased the resource from 500,000 ounces when we acquired the asset in 2015 to over 2.5 million ounces today. We have invested significantly in the drill bit, which has successfully delivered this resource expansion at a discovery cost of less than $30 per ounce. We believe that today’s resource at Waihi is really only the beginning, particularly at WKP, which is a new discovery with only 35,000 meters of drilling to date. The Martha Underground development will continue to progress over the course of the next year. At a high level and subject to the results of the Waihi District Study, we expect the Martha Underground to produce approximately 40,000 to 50,000 ounces of gold next year and will ramp up to 90,000 to 100,000 ounces of gold within a few years. The Waihi District Study, which is a preliminary economic study, is expected to be released later this quarter or next quarter. The study will provide only an initial view of the value-creating potential of the opportunities in Waihi District, including the Martha Underground and WKP. With a lot of drilling ahead of us, it is important to highlight that the district study will only include the reported resource and thus will only capture what we believe to be a fraction of the value of Martha Underground and WKP. At Macraes, we continued to advance the Golden Point Underground study, which we expect to highlight a new underground mine replacing the Frasers Underground and extend the mine life of Macraes at similar production rates. This study is expected to be completed in the second half of this year with an updated 43-101 technical report. At Haile, the SEIS permitting process is in the final stages. Meanwhile, we continue to optimize the Horseshoe Underground Mine plan, and we expect portal development to begin next year. Once Horseshoe is developed, we will explore more extensively at depth in the 1 kilometer corridor between Horseshoe and Palomino deposits, where we are sparsely drilled and have identified high grade zones. Moving on to Slide 16, we are driving, implementing and looking to achieve OceanaGold’s strategic goals, delivering on the company’s commitment and advance our organic growth opportunities over the next several years. Together, we are managing the near-term risks and planning for the long term with an acute focus on health, safety and the well-being of our workforce. While production was impacted at Macraes in the month of April due to the COVID-19 restrictions, we believe we can achieve our 2020 production guidance but coming in at the lower end of that range. We will also be looking to make up for lost production throughout the course of this year. We expect lower quarter-on-quarter production from New Zealand operations as Waihi is shutting down until the fourth quarter and Macraes had limited production in April. This decrease is partially offset by the high expected production from Haile. We also continue to strictly enforce the protocols and safeguards we have in place at each of our operations. To summarize, we have three key initiatives this year: one is to deliver on the 2020 expectations; two is to resume our operations at Didipio; and three is to progress our organic growth on time and on budget. OceanaGold has high quality operations, a high-quality management team and a strong growth pipeline with a balance sheet to support it. We continue to advance our organic growth opportunities, which again we believe represents one of the most significant growth platforms for investors in the gold industry. Thank you very much. And now back to Sam.
Sam Pazuki: Thank you, Michael. That concludes the formal presentation segment of the webcast. I will now turn the webcast over to the moderator to facilitate the Q&A session.
Operator: [Operator Instructions] And your first question will be from Daniel Morgan at UBS. Please go ahead sir.
Daniel Morgan: Good morning. Just a question on – you’ve got various growth projects for underground mines you’re looking to develop over the next little while, which is quite a big growth platform. Just wondering how that looks versus the balance sheet where – how are you going to fund it? Do you need to stagger any of these developments? Are they competing with each other? How do you think about that and do you need more capital?
Michael Holmes: Yes. Thank you, Daniel. The 4 underground mines are staggered. So we’re currently in the one underground mine with Martha at this point in time. When you look at the Frasers Underground Mine, we’re currently in progress and sort of finishing that off at Macraes, and that will sort of roll over into the Golden Point Underground. So utilizing the same equipment, the same people, and it’s a fairly short sort of decline in waste until they’re straight back into the ore. So that will be a minimal spend. With the underground at Haile, it’s in – sort of it’s been deferred a year due to the current sort of restrictions with the Didipio as well as the COVID. And so we’re just finalizing that and bringing that in line with the production sort of output at Haile. So the projects are to be funded within our current cash flows.
Daniel Morgan: Okay, thank you. And the materially higher gold price than I think any of us expected maybe 12-months ago, I just wondered how you’re thinking about that impacts your business vis-à-vis how you think about reserves, how you think about what grades you might choose to mill over the next little while.
Michael Holmes: Yes. Thanks, Daniel. We’re stuck with the – currently got our mine plan, and the ore bodies are limited to the current cutoff grades that we have got. It is the opportunities with a higher gold price to have a look at some of the more – surrounding the current ore bodies and what the opportunities are there for expansion of pits, particularly in Macraes, where it is highly leveraged to the gold price. The rest of the ore bodies are fairly well contained from a hard sort of geological boundary or infrastructure boundary.
Daniel Morgan: Okay, thank you very much.
Operator: Thank you. Next question will be from Chris Thompson at PI Financial. Please go head sir.
Chris Thompson: Hi, guys. Congratulations on a good quarter. I just got a couple of quick questions here. We will start off with Haile, nice to see the grades obviously coming up in the Q1. And I guess the question is, what should we be expecting by way of an increase in grade in the second half of the year? And how does that sort of layer into improvement in recoveries? Obviously, I understand you guys have been doing a lot of work on the processing side of things and what should we be modeling?
Michael Holmes: Yes. Thanks, Chris. So what we’re looking for is, with the mining schedule, an increasing in grade quarter-on-quarter. So quarter one, that was around 1.36; quarter two, around about 1.4; quarter thee at two grand; and then in quarter four, 2.4. And we’ll be working with that, looking at the higher recoveries quarter-on-quarter as we sort of move forward with the now completed regrinding circuit. So first, it’s the – the Haile, the way it presents itself is that 2/3 of the ounces come out in the second half of the year. So the first half of the year, the recoveries are around the high 70s to low 80s in the second half of the year getting up to the sort of mid to 80% – 85%, 84% to 86% recoveries in the second half and the highest in the fourth quarter.
Chris Thompson: Great. Thanks for that. I appreciate the detail there. And then just quickly moving on to Macraes, I just wonder if you can give me a sense of the mill tons percentage split between the Frasers Underground and the open pit?
Michael Holmes: Yes. So Frasers currently on March figures, about 5.8 million tons processed and about 0.9 million tons from Frasers Underground.
Chris Thompson: Okay, alright. I noticed a bit of a jump there in the underground mining cost. Was that COVID-related or maybe comment on that?
Michael Holmes: Yes, the last week of the – yes. So I mean we basically had almost a full week there without any mining and still covering all the labor and overhead costs.
Chris Thompson: Great. Thanks, Michael. And yes, nice to see you taking the role of the CEO and President.
Michael Holmes: Thank you very much.
Operator: [Operator Instructions] And your next question will be from John Tumazos at John Tumazos Very Independent Research. Please go ahead sir.
John Tumazos: Thank you for taking my question and thank you for your service of the company. Given that the gold price is firm and costs are falling and things are moving again in New Zealand and the grade is picking up in the second half of the year, are you feeling good enough about things to pay back the precautionary $50 million drawdown on the bank line?
Michael Holmes: Yes. Thanks, John. With the drawdown, with the current capital profile, we will continue to have that drawdown until it gets triggered to the end of 2021.
John Tumazos: With the different restrictions and various jurisdictions on movement, are you having any delays on drilling you’d like to do or equipment you’d like to have delivered or independent QA/QC people or other things necessary to do normal day-to-day work?
Michael Holmes: Yes. No. It’s a very good question, and there has been impact of some delays with equipment. We’ve seen – we’ve now got a new jumbo that was sort of delayed in Australia that’s now headed over to Waihi, and it will be in the dirt in – on Monday. We have seen some delays in the new drill fleet that we’ve ordered for Haile. But to counter that delay, the deal that we did with Sandvik was to actually get some second-hand pieces of equipment in the dirt while we wait for that. So that was always the process and to have those – that fleet readily available for us while they’re building the new fleet. So that new fleet has been delayed by a couple of months, but that doesn’t – that hasn’t impacted the operations at this point in time. We will continue to manage and monitor that. New Zealand, the eradication with the strategy they have with the COVID has allowed us to get back to full operations down to level 2 there. And the important thing for us at Haile is to ensure that we continue with our strict protocols to ensure that we have no COVID sort of impact or no COVID-related cases at those sites.
John Tumazos: I have some friends at juniors in Peru or Madagascar that are at risk of losing a whole year. If a person has to go from Victoria and quarantine into Western Australia and then quarantine into the next country to do a week’s work and then quarantine twice to come back, it’s 2 months. And some people just hold up the program rather than go through all that. You don’t have anything that’s that bureaucratic anywhere, do you?
Michael Holmes: No, John. And a major – one of our strategies in the way that we run our business is a diversified model. And so the decision-making is done and the employment is done at the locations that we run. And so the only client plant site that we do have is the Philippines. That’s currently sort of in a state of suspension at this point in time. But that being said the workforce of the Philippines is 98% Filipino, so we have the resources within the countries of our operations.
John Tumazos: Thank you very much.
Operator: Thank you. Next question will be from Reg Spencer at Canaccord. Please go ahead.
Reg Spencer: Thank you. Good morning. A few questions for me. If I could start with Haile and Horseshoe Underground, can you just remind me what the key outstanding permitting milestones might relate to? And following on from that, are you in a position at this point to provide any potential guidance on when you currently expect underground production to commence there?
Michael Holmes: Yes. Thanks, Reg. So we are in the SEIS process with the U.S. Army Corps and the Department of Health and Environmental Control. The process is to get through to a draft SEIS and then a 45 days sort of community consultation process, and that’s – and that was to be delivered in the first half of this year. So we’re still sort of working towards those time lines. Some of the frustrating things have been the ability to have the community consultation and trying to work how we can do that virtually as opposed to the face-to-face. So that’s something we’re working with the current process. And that SEIS permitting process is for the expanded open pit and the underground. We have worked with the U.S. Army Corps of Engineers and the Department of Health and Environmental Control, and we’ve had approved up-to-date from the EIS 29 minor modification. So the regulatory government and bodies are working with us to ensure that the mining continues unimpeded and we can sort of achieve what we want to achieve. So we are targeting an underground development start at the beginning of next year. We’re currently going through a few trade-offs. So with the delay in the start process, we’re looking at some trade-offs with regards to the mine sequencing of a bottom-up or a top-down. The bottom-up in the NI 43-101 has the cemented rock fill. We’re also looking at a top-down approach with paste fill. So we’re currently going through that, and we’ll guide the market when we finish the – we have a bit more clarity on the way in which we want to do that. So that’s been – and the reason for that, that sort of dictates when you can actually get some more out, the top-down approach, as you know, with Didipio being a lot quicker time to ore body and time to production.
Reg Spencer: That’s great. Thanks, Michael. So that was actually going to be my next question, just around that reassessment of the mine design there. It sounds like, in part, it is due to that permitting.
Michael Holmes: Yes, the permitting processes and the delay of it. The permitting process hasn’t really sort of impacted. This is more of the delay that we sort of chose to do with Didipio on suspension, we chose to push – from the capital program, push the Haile underground out the year. And that’s given us the opportunity to investigate some other opportunities to optimize the underground mine.
Reg Spencer: Understood. Just turning over to Didipio, can you tell me what had previously prevented you from moving that dore? And secondly, given the – what I would consider positive developments with respect to government assistance and getting diesel into site and that export of dore, what are the chances of you being able to shift some of the concentrate that you have on site there?
Michael Holmes: Yes. Look, thanks, Reg. It’s a continual process of working with the government. And the dore removal from site was following the meeting, the Presidential meeting with ministers and governors and congressmen. So an outcome of that was to allow the dore to be removed from site, which requires an ore transport permit as well as the ability for us to get 100,000 liters of fuel into site for the emergency backup generators we have. So we are continuing to work with that with the government. The working group is still back in and working, which is good. That was another outcome of the meeting with the President. We allocated a working group that sort of – to progress the FTAA, which is made up of the executive – the deputy to the Executive Secretary of a – Undersecretary from the Department of Finance and the Director of the MGB. So that process is still working and we’re still working hard on getting the FTAA renewals in the first place as well as a lot of the opportunities of actually moving the concentrate from the site. I would just say they have a timing on those.
Reg Spencer: Yes, thanks. Understood, understood. Thanks very much, Michael. Thank you.
Operator: Thank you. Next question will be from Mike Parkin at National Bank. Please go ahead.
Mike Parkin: Hi, guys. Thanks for taking my question. With regards to Haile, I just wanted to check to see if the water discharge plant is operational and if it is, is that flowing through the costs on processing?
Michael Holmes: Thanks, Michael. I’ll hand it over to – that question over to Jim Whittaker, the Executive General Manager for Haile.
Jim Whittaker: Yes, Jim here. Very good question. Thank you. Yes. We – as part of a contingency plan, if you remember, late in last year, we actually added some additional capacity to our water treatment plant. That has been installed. It’s running very well. We’re hitting higher levels of water treatment month after month, which is basically taking the pressure off the input side, which is mainly from the Snake pit at this point in time. Those costs are going indirectly into the milling costs.
Mike Parkin: Okay, great. Thanks very much.
Operator: This does conclude the question period. And I would like to turn the call back to Sam Pazuki.
Sam Pazuki: Thank you. So that does conclude the webcast and conference call. A replay will be available on our website later today. On behalf of Michael, Scott, Jim and the rest of the team, thank you for joining us. Bye for now.
Operator: Thank you. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines.